Operator: Good day and welcome to the Lamb Weston Third Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Dexter Congbalay, Vice President, Investor Relations of Lamb Weston. Please go ahead, sir.
Dexter Congbalay: Good morning and thank you for joining us for Lamb Weston’s third quarter 2018 earnings call. This morning, we issued our earnings press release which is available on our website, lambweston.com. Please note that during our remarks, we will make some forward-looking statements about the company’s performance. These statements are based on how we see things today. Actual results may differ materially due to risks and. Please refer to the cautionary statements and risk factors contained in our filings with the SEC for more details on our forward-looking statements. In addition, some of today’s prepared remarks include non-GAAP financial measures. These non-GAAP financial measures should not be considered a replacement for and should be read together with our GAAP results. You can find the GAAP to non-GAAP reconciliations in our earnings release. With me today are Tom Werner, our President and Chief Executive Officer; and Rob McNutt, our Chief Financial Officer. During this call, Tom will provide an overview of our performance as well as some highlights and key operational updates. Rob will then provide details on our third quarter results, our debt and cash flow and our updated fiscal 2018 outlook. Tom will wrap up with some closing remarks before opening up the call for questions. With that, let me now turn the call over to Tom.
Tom Werner: Thank you, Dexter. Good morning, everyone and thank you for joining us today. Our strong quarter of sales, earnings and cash flow growth reflects the benefits of our capital expansion investments, our laser focus on delivering industry leading customer service and new product innovation in the market, and our commitment to operational excellence. Sales grew 12% driven by good balance of higher price mix and volume growth. Adjusted EBITDA, including unconsolidated joint ventures, increased 25% to about $240 million. And through the first 9 months of the year, we generated about $310 million of cash flow from operations, up about $55 million versus the prior year period. Because of this strong performance, we are raising our outlook for fiscal 2018. We now expect our sales growth rate to be at the upper end of our targeted mid single-digit range and adjusted EBITDA, including unconsolidated joint ventures to be $805 million to $810 million. Rob will provide more details on our updated outlook later on the call. Our results this quarter reflect how well our commercial and supply chain teams continued to execute on our strategic and financial objectives. But before I run through some of the highlights and key operational updates, I want to take a moment and thank all the Lamb Weston team members for the completion of our post-spin transition services with our former parent. There was a tremendous amount of heavy lifting all across our company to complete the transition on time and we did it seamlessly while continuing to drive our business results. I cannot emphasize enough how proud I am of the team. Now, moving to our key highlights for the quarter. First, our new 300 million pound French fry line in Richland, Washington is up and running providing us with much needed additional flexibility across our manufacturing network to support customer growth, innovation and service levels. Having the new line startup and run at planned levels was key to driving our strong volume growth in the quarter. I want to thank the team that brought this project to realization on time, on budget and with remarkable safety performance. Second, we have broken ground for our 300 million pound French fry line in Hermiston, Oregon. Favorable weather conditions have allowed us to accelerate the construction and we have increased CapEx spending in the near-term to reflect that. We continue to expect the new line to be operational towards the end of our fourth quarter of fiscal 2019. And finally, our new 180 million pound facility in Russia became operational this quarter. The team there is in the process of securing customer qualification of the line and will begin ramping up production to support increasing demand in that market. As you may recall, our interest in this plant is through our Lamb Weston/Meijer joint venture in Europe, which is a minority owner of this facility. In addition to progress on the capacity front, we have also finalized price agreements in each growing reason for the 2018 potato crop. Just like we do every year, our next step in the annual process is to enter into contracts with individual growers and we expect to complete this process relatively soon. For competitive reasons, we don’t provide many details regarding contracted potato prices and acreage requirements. Our approach to contracting raw potato supply has been and will continue to be to work with growers so that they make a fair return over and above their costs. We want to ensure that they can reinvest in their businesses and we look at these partnerships over the long-term horizon. Like many other agricultural sectors input costs whether its for seed, fertilizer, labor or capital have been rising, so it’s fair to assume that raw potato prices would increase as well. As a result, we expect our weighted average contracted per pound raw potato price to increase in the low to mid single-digit range. However, it’s really important to remember that contracted prices are only one element of understanding our total potato cost. Potato yield, quality and how they hold up in stores are all keys to determining how the potatoes perform in our production facilities and our actual costs. Much of that is not known until our fiscal second quarter. We will provide a view on total manufacturing costs when we provide our fiscal 2019 outlook in late July with appropriate updates as the year progresses. Switching to our top line performance, limited time offers or LTOs innovation and retail sales execution help to accelerate growth, drive category news and share gains in the quarter. Opportunities to supply customers with limited time offers are a core part of our long-term growth story and in the third quarter they were meaningful contributors. Most of this was centered in our global segment. A few LTOs accounted for about half of that segment’s volume growth. Going forward, our new fry capacity gives us more flexibility to partner with customers to develop additional innovative limited time offerings and help them drive traffic and business growth [ph]. On the innovation front we recently announced an exciting new platform called Crispy on Delivery. It’s a comprehensive solution that enables fries to stay hot and crispy for the fast growing home delivery channel. It’s a new coated fry that stays crispy for up to 30 minutes when put in a unique proprietary packaging system that allows moisture to escape while keeping the fries warm. This fry and packaging combination is the first of its kind in the market. It is a promising solution to help customers expand delivery of fry which are typically the highest margin food product on their menus while meeting a clear consumer opportunity. While we are on the front end of showing this product solution to our customers and while it’s still early, I am very excited about the possibilities surrounding this offering and we are looking forward to partnering with our customers. In our Retail segment Grown in Idaho branded products continued to gain distribution with shipments beginning late in the quarter to a few large new customers. This should provide a tailwind for Grown in Idaho in the fourth quarter and as we exit the year. Over the next few months we will step up marketing investments to support this growth and that of our other brands. Our regional strategy is clearly working together Grown in Idaho Alexia branded, license branded and private label products have captured nearly 5 points of market share over the past year. And before turning the call over to Rob, I am pleased to announce that Mike Smith will lead our foodservice and retail business units. Mike has been with Lamb Weston for more than 10 years, most recently partnering with me in leading the development of our overall business strategy and the redesign of our innovation process. Mike is an excellent example of the depth of talent in our organization and a great fit for this role. He will take over our foodservice team that has driven strong sales and earnings growth over the past few years and retail team that has continued to expand distribution of our branded portfolio. Mike will be taking over from Rod Hepponstall who is leaving the company to become the CEO of a publicly traded food company outside potato category. I would like to thank Rod for his leadership and contribution to Lamb Weston and I wish Rod and his family well as they embark on this new adventure. So as our strong third quarter and year-to-date results show, our commercial and supply chain teams are executing well and the operating environment continues to be favorable. As a result, we have raised our annual outlook for sales growth and adjusted EBITDA. We continue to believe that we are well positioned to create shareholder value over the long-term by focusing on our strategic and operational objectives. Now let me turn the call over to Rob to provide the details on our third quarter results and our updated outlook for the year.
Rob McNutt: Thanks, Tom. Good morning, everyone. As Tom mentioned, we are pleased with our performance in the quarter. We executed well across the organization and delivered strong top and bottom line growth and generated strong cash flow. Specifically, as compared to third quarter of 2017, sales grew 12% to $863 million. Price mix increased 7%, up from the 4% that we delivered in the first half. This was primarily due to implementation of new pricing structures associated with recently renewed contracts in our Global segment and to a lesser degree in our retail segment. In addition in foodservice, we continued to benefit from pricing and mix improvement actions taken in fiscal 2017 as well as actions taken in the first half of fiscal 2018. Volume increased 5% led by growth in our global and retail segments. Gross profit increased $37 million or up 18% versus prior year. Higher price mix and volume growth drove the increase more than offsetting the impacts of higher transportation and warehousing cost, input cost inflation and higher depreciation expense primarily associated with our new production line in Richland. Our gross margin percentage expanded 130 basis points to more than 28%. SG&A expense, excluding items impacting comparability, increased $16 million to $73 million. Three factors primarily drove the increase. First, incremental labor benefits and infrastructure cost related to operating as a standalone public company; second, higher incentive compensation costs based on our year-to-date operating performance, including the true-up for the higher incentive accrual rate for the first half of the year; and third, increased investments in advertising and promotional support in our retail segment as we continue to expand distribution of Grown in Idaho branded products. As a result, adjusted income from operations in the quarter was up $21 million or 14% to $171 million. Equity method investment earnings from our unconsolidated joint ventures, which include Lamb Weston/Meijer in Europe and Lamb Weston/RDO in Minnesota, were $26 million, up from about $13 million last year. These amounts include an unrealized gain of $2.5 million in the current quarter related to mark-to-market adjustments associated with commodity and foreign currency hedging contracts. This compares to a $1.4 million loss in the prior year quarter. In addition, equity earnings include a $4 million gain on sale related to divestiture of a non-core business in Europe as well as a $2 million currency translation benefit. Excluding these items, equity earnings increased a bit under $4 million. Lower potato costs in Europe as well as volume growth by both joint ventures primarily drove that increase. So, putting it altogether, adjusted EBITDA including unconsolidated joint ventures, increased about $47 million or 25% to $238 million. Higher earnings in our base business drove about two-thirds of the increase. Let me take a couple of minutes to talk about the impact of tax reform enacted in December 2017. Compared with third quarter of fiscal 2017, tax reform decreased income tax expense and increased net income approximately $47 million or $0.31 per diluted share. The increase is made up of two items. First, we recorded a provisional $24 million net one-time discrete benefit, about $39 million relates to the benefit for re-measurement of our net U.S. deferred tax liabilities using the new statutory tax rate partially offset by a $15 million transition tax on our previously untaxed foreign earnings. The cash impact of this transition tax will take place over the next 8 years, but the expense was recognized in Q3. We have excluded this $24 million net benefit from adjusted earnings as a comparability item. Second, accounting rules require that we record the effect of changes in rates resulting from newly enacted tax laws in the period the change is effective. Accordingly, we have recorded a $23 million or $0.15 per diluted share benefit from the lower U.S. corporate tax rate in the third quarter. Because our fiscal year is not a calendar year a blended rate applies for fiscal 2018 resulting in a federal tax rate of approximately 29% for fiscal year 2018 and a 21% federal rate for fiscal years thereafter. About $14 million or $0.09 per share of the rate benefit is related to earnings reported in the first half of our fiscal year with about $9 million or $0.06 related to fiscal 2018 third quarter earnings. As a result, our overall effective tax rate in the third quarter, excluding comparability items for tax reform, was about 19%. For both the fourth quarter and full year fiscal 2018, we expect to have a blended overall effective tax rate excluding comparability items for tax reform of about 28%. Regarding earnings per share, adjusted diluted EPS was up $0.32 to $0.91. Operating gains and higher equity method investment earnings drove just over half of the increase, while about $0.15 of the increase was due to applying the lower tax rate as a result of recently enacted tax reform. Now, let’s review the results for each of our business segments. Sales for our Global segment, which includes the top 100 U.S. based chains as well as all other sales outside of North America, were up 15% in the quarter. Price mix rose 9% as we implemented new pricing structures associated with recently renewed contracts and continued to improve customer and product mix. We expect these new pricing structures will continue to deliver solid price mix growth in the fourth quarter. Volume grew 6%. As Tom mentioned, about half of this increase was driven by limited time product offerings. The other half of the increase was primarily driven by sales of base products to strategic customers in the U.S. We expect Global’s volume growth to be solid for the remainder of the year as we continue to benefit from the sales of limited time product offerings and growth with our strategic customers. Nonetheless, it’s important to note that we will be lapping a more difficult prior year comparison with Global’s volume up 4% in the fourth quarter of 2017. Global’s product contribution margin, which is gross profit less advertising and promotional expense, increased $22 million or about 23% in the quarter. The increase was driven by favorable price mix and volume. This was partially offset by higher input costs, manufacturing transportation and warehouse cost inflation and higher depreciation expense associated with the new Richland line. In the third quarter, Global’s margin percentage expanded by about 180 basis points. Year-to-date, it’s up about 20 basis points. Sales for our foodservice segment, which services North American foodservice distributors and restaurant chains outside the top 100 North American restaurant customers, increased 5% in the quarter. Price mix increased 5% as compared to a 10% increase in the prior year period. The increase this quarter reflected pricing actions and continued improvement in customer and product mix. Volume grew nominally behind increased shipments of higher margin Lamb Weston branded and operator labeled products. However, this was mostly offset by the loss of some lower margin distributor labeled volume as we continue to be priced discipline when competing for these types of contracts. While we are confident about the long-term volume transfer of foodservice segment, we are being cautious about growth in the near-term that’s because of loss of some distributor labeled volume will likely continue to be a headwind through the first half of fiscal 2019. And although demand by regional QSRs continues to be solid, we are beginning to see evidence of traffic slowing somewhat at independent restaurants. Nonetheless, we believe these factors are temporary. We expect industry capacity to remain tight allowing for a generally attractive pricing environment, including for distributor labeled volume. In addition, the U.S. economy remains strong, which should eventually lead to upward wage pressure and increased disposable income and higher food spending away from home. We are confident that we will be able to continue to drive earnings growth in the third quarter foodservices product contribution margin increased 7% as favorable price mix more than offset higher input costs and the Richland appreciation. Our product contribution margin percentage expanded by 80 basis points. In our retail segment, sales grew 31%. Volume was very strong up 22%. This was primarily driven by distribution gains of Grown in Idaho and other branded products as well as the timing of shipments of some private label products from the second quarter into the third. We don’t expect to repeat this level of retail volume growth in the fourth quarter as we are unlikely to see similar timing impact of private label shipments. In addition, we will be facing a more difficult year-over-year comparison. Recall that volume growth was 1% in Q3 2017, but was plus 7% in Q4. Nonetheless, we do expect solid growth of Grown in Idaho to continue in the fourth quarter as we have only recently gained distribution in a few large new customers. We also expect solid volume growth for our other branded products. Retail sales growth was growth was also driven by a 9% increase in price mix. This was a result of higher prices across our branded and private label portfolio as well as improved mix. Increased trade spending in support of expanding distribution of Grown in Idaho partially offset this increase. Retail’s product contribution margin increased 32% as higher volume and price mix more than offset cost inflation as well as stepped up advertising and promotional investments behind Grown in Idaho. Product contribution margin percentage expanded by 20 basis points. Switching to our balance sheet and cash flow, our total debt at the end of the quarter was about $2.4 billion, down about $65 million from the end of second quarter. Most of that decrease is a reduction in the balance of our revolving credit line, which we use primarily to finance working capital. As you may recall, our revolver balance tends to be highest in the second quarter and early into the third quarter. That’s when we built raw potato and finished goods inventory during the fall harvest and when we pay many of our growers. Our net debt to adjusted EBITDA ratio was 3.4 times, slightly below our target of 3.5 to 4. We are comfortable being below our target range for a period of time as it provides additional balance sheet flexibility. With respect to cash flow, we have generated $310 million in cash from operations in the first nine months of the year, up $55 million versus the prior year period. A portion of this increase relates to lower cash taxes as a result of tax reform. Capital expenditures for the first 9 months are just over $200 million, which is about the same versus prior year period. Let me now turn to our updated fiscal 2018 outlook. As Tom mentioned, we have raised our outlook based on our solid year-to-date performance. For sales, we are targeting a growth rate at the upper end of the mid single-digit range we have previously provided. On a year-to-date basis, our sales are up about 7% driven by solid price mix and volume growth. Sales growth in the fourth quarter will likely be driven largely by price mix with many of the factors driving the increase in the third quarter also benefiting growth in the fourth quarter. Our volume growth in the fourth quarter may slow sequentially from the 5% that we delivered this quarter for a number of reasons. First, with our new Richland fry line fully operational, we have flexibility to take additional production lines down for scheduled maintenance without sacrificing customer service levels. Second, foodservice and retail volumes faced some headwinds that I described earlier. And third, we will be lapping a more difficult comparison versus the prior year. For adjusted EBITDA, including joint ventures, we have increased our target to be in the range of $805 million to $810 million, up from our previous target of $780 million to $790 million. The midpoint of this higher range is approximately a 17% increase versus a pro forma 2017 amount of $692 million. With respect to supply chain costs on a per pound basis, we continue to expect our overall cost of potatoes to be in line with our previous guidance. Non-potato costs will increase at a low to mid single-digit rate on a full year basis. In the fourth quarter, we continue to expect non-potato costs to increase at mid single-digit rate largely driven by transportation, warehousing and commodity inflation. Our annual SG&A costs will be a bit higher than we expected a few months ago. This is largely due to higher incentive compensation costs as a result of our strong operating performance as well as higher advertising and promotional investments behind Grown in Idaho as we continue to build distribution scale. In addition with interest rates increasing, we expect total interest expense of about $110 million, which is on the high-end of our previous target range of $105 million to $110 million. With respect to taxes as I mentioned earlier, we anticipate a full year overall effective tax rate, excluding comparability items related to tax reform and spin-off costs of approximately 28%. While we are still evaluating the longer term impact of the new tax law, we continue to estimate that our long-term effective tax rate, including foreign and state taxes, will be in the mid-20s. And finally, we have raised our capital expenditure target for the year to $270 million to $280 million, up from $250 million. This increase reflects accelerated spending on our new production line at our Hermiston, Oregon facility. We continue to expect the total cost of the new line to be about $250 million, with about $50 million spent in fiscal 2018 and remain on target to start the line up towards the end of our fourth quarter of fiscal 2019. Let me now turn the call back over to Tom for closing comments.
Tom Werner: Thanks, Rob. We are pleased with our third quarter financial results, our progress against operational goals and our ability to once again raise our sales and EBITDA targets for the year. We build good momentum behind strong execution and targeted investments in capacity and capabilities. As a result, we remained well positioned to serve and grown with our customers, generate solid returns and create value for all our stakeholders over the long-term. I want to thank you for your interest in Lamb Weston. And we are now happy to take your questions.
Operator: Yes, sir. Thank you. [Operator Instructions] We first go to Andrew Lazar with Barclays.
Andrew Lazar: Good morning, everybody. Thanks for the question.
Tom Werner: Good morning, Andrew.
Andrew Lazar: Just two items if I could. I guess the first one is over the past few years, Lamb Weston certainly come in well ahead of its long-term EBITDA growth algorithm as you mentioned in your prepared remarks in a combination of pricing and the Global demand environment. I guess, as we think forward a bit, are there any items that you would call out even broadly that could dampen this sort of momentum. And I guess what I am getting at is what could be the unlock I guess in allowing Lamb to sort of update the EBITDA growth sort of algorithm given that you have fairly recently updated the long-term top line algorithm a bit? And then I have got a follow-up.
Tom Werner: Sure. Andrew, it’s Tom. As I think forward, just Global said everybody we have had several years of no inflation and the capacity demand, supply demand situation in the industry certainly has allowed us some great tailwinds. But going forward, we are going to have some inflation that we haven’t experienced in several years that we are going to have to manage through. We have a great team and we will manage through that. But the last several years, we have been over the centerline of our long-term outlook and to expect that to continue is going to be hard-pressed. So, we have got some things coming at us, the next year, the team is working on it and we will give guidance in the Q4 late July on that front.
Andrew Lazar: Okay, thanks for that. And then you mentioned that you lost some distributor labeled volume in the food spur space which I know is lower margin to begin with, but I am just curious where does that volume go just given how tight the capacity situation is in the industry? I didn’t – I guess I thought that there just weren’t that many options for folks to sort of leave various suppliers and go elsewhere?
Tom Werner: Well, think of it this way, Andrew, as we continue to work on our overall portfolio and we are evaluating our customer mix and our SKUs in terms of overall margin profile, we are making choices and we have been making choices for the last 12 to 18 months in terms of volume that we just want to walk away from to pursue other opportunities in the marketplace. It’s really some of the street business, the independence that as we clean up our SKU portfolio, we are making choices to walk away from that low margin business and point debt capacity elsewhere, so that’s the big component of what’s going on in foodservice segment right now.
Andrew Lazar: Okay. Thanks very much.
Operator: Next question comes from Adam Samuelson with Goldman Sachs.
Adam Samuelson: Yes, thanks. Good morning, everyone. I guess first question just on some of the revenue trends in the quarter, some of the qualitative comments that you gave in the prepared remarks, I think you alluded to bit of a slowdown in some of the more independent foodservice business, if you could just expand on that a little bit? I know, there has been some weather issues in the Northeast this winter that might have impacted the comps, but wondering if you could give any additional color there? And then I have a follow-up.
Tom Werner: Yes, there has been some weather impact, but we have seen in the foodservice channel the independence they are slowing down and the benefit of that is or the other side of that coin is in our QSR Global business unit, we are seeing a lot of good traction with our customers mix and how we are aligned with those customers. So, it’s a put to take, but right now, overall, we are seeing a little slowdown in the foodservice segment.
Adam Samuelson: Okay, that’s helpful. And then I guess second question from me is related on the cost trends and I know you talked about an expectation for cost to tick higher, to stay more elevated on the potato side moving forward, but in the quarter itself on the Global side, it looks like unit cost did pickup pretty meaningfully, was there a mix impact there that the processing costs were higher. Just wondering anymore color on cost trends between potato and non-potato kind of what has changed relative to where you were 3, 6 months ago would be helpful?
Rob McNutt: Yes, Adam. This is Rob. In terms of cost, couple of elements driving the increase there as we have talked about, we are seeing inflation in transportation and warehousing that I think others have seen we have been talking about that for the last several quarters, but it does seem to be accelerating a bit. The other side is we are seeing some other input cost inflation and then recognized and part of this is mix related, the depreciation of that new line in Richland is a little bit heavier weighted into that global business. So, you see a little bit more of that there.
Adam Samuelson: Okay. But just to be clear on the cost side relative to where you would have been in January on earnings, it’s the non-potato inflation, it’s same, worse, just how is that tracked versus the expectation?
Tom Werner: It’s really where we expected it to be. Transportation, warehousing is the only thing that really is a little bit faster, but again for us that’s not as big a deal as it might be for others.
Adam Samuelson: Okay, great. That’s all very helpful. I will pass it on. Thanks.
Operator: The next question comes from Akshay Jagdale with Jefferies.
Akshay Jagdale: Good morning and congratulations on outstanding quarter.
Tom Werner: Thanks, Akshay.
Akshay Jagdale: Yes. So, I wanted to – Tom, I wanted to ask you a little bit about Global, just this is the first quarter post the contracting right and I mean to say the results were exceptional would be an understatement there, especially on price mix. So my question really is you did this contracting several months ago and since then I would argue that demand has strengthened right especially in the U.S. with the LTO with one of your large customers going as well as it is. So, can you just put into perspective, where you see sort of capacity utilization rates over the next 12 months and maybe the next 24 months? I mean, just it looks like not much is going to change from an industry perspective on utilization rates, because even though some incremental capacity is coming online from you guys, seems like demand is more than making up for it. So, that’s my first question just to get some color commentary from you guys on your expectations for utilization rates over the next 12 months and 24 months?
Tom Werner: Akshay, a perspective I will give you is you step back and the industry has been running at high capacity utilization for the past several years. Based on how we are forecasting demand as I stated in my Q2 call between 1.5% and 2.5%, we expect that to continue. And if you think about what’s happening in the market right now, what I just said previously in the QSR space, it’s performing really well, so you are seeing that reflected in the Global business unit. And also we have some limited time offerings in Q3 that really accelerated that growth. So, you put all those things together, we made the announcement on Hermiston, our competitive set, they are going to add some capacity over the next 12 to 18 months, but we expect like I say it in Q2 we are going to run our assets the low end 95% and we got flexibility to support our customer needs going forward plus we have got to have the additional flexibility capacity as Rob noted on his comments to make sure that we are maintaining our assets and we are committed to doing that, but we expect the utilization rates to remain fairly consistent to where they have in the past based on the capacity coming on.
Akshay Jagdale: And just to clarify so when you say in over the next 12 to 24 months, right, the next couple of years, you expect them to remain where they have been over the last couple of years, right, I mean, because the historical rates for the industry as you have alluded to our like 95%, but we have been operating over 100% and your price mix tells us that even that might be a bit conservative. So, over the next couple of years, is there any reason to believe that utilization rates aren’t going to remain pretty tight for the industry?
Rob McNutt: Yes. Akshay, this is Rob. A couple of things. We recognized there has been some capacities come on in Europe and so as that comes on that can be competitive in some of those export markets. And so that allows us to be able to maintain growth in service levels domestically. And as Tom spoke to it and recall prior to the Richland 5 startup, we said we were operating at very high level capacity and so we were limited in our – in the ability to help customers with LTOs. And so now that we have got Richland 5 running and then looking forward to the new Hermiston line coming on, we will be able to maintain – one, maintain the operating assets at the right level from a maintenance perspective, but also really support our customers with those limited time offerings which tend to be pretty good business for them to drive traffic and therefore us. So we anticipate things are going to continue to be relatively tight, but we will manage through that with the balance of export and domestic demand servicing those limited time offerings. And so that’s a calculus that the teams go through on an ongoing basis to get the best margins we can out of the capacity we have got. But we do anticipate overall industry capacity will continue to be relatively tight over the next 12 months to 24 months.
Akshay Jagdale: Got it. And just one on the LTOs and more in general about your innovation pipeline, what you have mentioned about the fries for the two gold segments, it seems pretty exciting too, but how do you manage – how are you managing sort of this LTO demand, right or just your innovation pipeline, so now you have some flex capacity so you can actually go out and sell some of this stuff, but given the inherent set of – inherent nature of these products to be on and off menus, I imagine it’s harder to manage, so can you give us some sense of how we should be thinking about that as a contributor to your top line going forward because I mean you are having tremendous success right now with one of your customers and I am assuming we can expect that to continue for every product you launch, right, so can you just give us a high level perspective on contribution from sort of LTOs and new products given that you have some flex capacity now? Thanks.
Tom Werner: Akshay we are partnering with our customers and we – in terms of our customer relationships and working with them as a plan their outlook and their monthly calendar and their menu, we are close to it. So these things, the LTOs they are variable obviously, but we have a point of view on when those are going to hit. And we are working with our customers and we have a very rigorous system whereas we have insights for having outlook on what they are thinking in terms of menu and doing different products. We are trying different – some different products that we have on the menu to do LTOs. We are putting all that in our schedule and our outlook and our thinking. But that said, sometimes it just takes some time to get these on the menu, but we have a good outlook based on our system and how we work with our customers on when these LTOs are going to hit.
Akshay Jagdale: Thanks a lot.
Operator: Next question comes from Matthew Grainger with Morgan Stanley.
Matthew Grainger: Hi, good morning. Thanks for the question. Thanks. Rob, I guess the first question on the freight side, obviously you have given us updated sense of your inflation outlook for the full year and so I think we have a sense of where you stand there, but just from a more qualitative standpoint just hoping you could elaborate a little bit on your supply chain how you have adapted to the increase in freight costs and anything about the structure of your supply chain, maybe it’s the concentration or your use of rail something that would just to help us better understand how you are differentiated from everyone else is feeling this pressure?
Rob McNutt: Yes. If you think about our business, retail tends to be priced on a delivered basis and that’s a smaller portion of our business maybe than some others might be not necessarily in the private and the food category in general. And then the foodservice and the global business those we tend to be contracted where we can more easily share the trade increases with our with our customer base, also recognize that because the predominant of our production is in Pacific Northwest, we do have forward distribution in in the Midwest and in the East. And a lot of that is done by rail. And so we will ship a lot of that by rail and to forward distribution and then it tends to be a lot of customer pickup in that short haul forward. And so that customer pickup, the customer that obviously is dealing with the freight issues. Our teams constantly are looking at rail versus truck rates to optimize that and so that’s just an ongoing part of the model. But again, we don’t tend to be necessarily as tied to truck maybe as some others and then how we balance the freight cost between ourselves and our customers maybe a little different for waiting with some others in the food business.
Matthew Grainger: Okay, that’s helpful. Thanks. And I guess one other follow-up just on Akshay’s line of questioning in the LTO’s, Tom I think you spoke to the volatility or the unpredictability in the LTOs and that clearly seems to have been maybe one of the factors along with your own optionality in terms of driving positive mix during the quarter, but is there I guess we are thinking about the forward price mix outlook and the strength that you exhibited during the quarter here, I know my question is getting a little long winded here, but I know you see avenues for positive mix going forward, in the short-term was there anything inflated about the mix favorability in Q3 that we should expect to see moderate more significantly over the next three months to six months just shorter term timeframe?
Tom Werner: Yes. I think as we kind of commented on earlier, we certainly from a volume perspective our Grown in Idaho but you look at our retail segment, Grown in Idaho and our private label accelerated this quarter. We have got some new customers with Grown in Idaho big customers, so that’s certainly probably – not probably it’s over indexed on where that’s going to grow going forward. And I would say our global business unit in particular as we stated the LTO that’s going on right now was drove sustainable [ph] amount of growth. And that’s – again that’s not continue going forward, but underneath that and the goal of business unit if you look at our customers in that segment again the QSR traffic, the customers in that space continue to grow and are full confident that that will continue in the near-term.
Matthew Grainger: Okay. Thanks. And is it – just one follow-up, is it fair to assume that LTOs are almost always going to be higher margin than normal course business even more premium styles?
Tom Werner: Yes. Matt, I am not going to get into the specifics in terms of financial, what happens financially with LTOs, so I will just leave with that.
Matthew Grainger: Okay. Thanks Tom. I appreciate it.
Operator: Next question comes from Bryan Spillane with Bank of America.
Bryan Spillane: Hey, good morning everyone.
Tom Werner: Good morning Bryan.
Bryan Spillane: Just one question and I guess it’s – it kind of ties back to I think maybe Akshay was asking about utilization rate, but just now that you have got the incremental capacity up and running as we are kind of thinking just out over the next four quarters, how much of that volume is at a net basis is available to actually grow volumes year-over-year or how much of that should we think is being sort of netted out as you were kind of running above 100% capacity utilization and maybe you are going to slowdown a little bit production in some of the existing facilities to do the regular maintenance that type of things, so I guess what I am really trying to drive at is, so we are thinking about over the next four quarters, is it more of a price mix driving revenues versus volume and then really just how much actual volume growth is available to you just given your capacity situation?
Tom Werner: Well, a couple of things, Bryan. Certainly, we have got to catch up on a few maintenance things coming up and we – the additional capacity with Richland gives us flexibility to continue to service our customers at the volume levels that we expect. We are going to continue to run our assets within the 95% to 100% range. And the critical thing to remember as we talked about earlier is the category over the last several years and I have stated it before continues to grow at a pretty good rate between 1.5% and 2.5%. And our view is that’s going to continue and which is why we brought the Hermiston line forward. So we have to do something to manage our assets, but we have – we see opportunities in the marketplace in the category that we will continue to run our assets at current levels and that the additional capacity gives us flexibility to flex with our customers as their – we talked about LTOs a lot on the call today, but as we are thinking about new things to drive traffic. So I don’t anticipate us doing anything different than what we have been doing from a capacity utilization standpoint. And I think the industry in general will continue to run at tight levels.
Bryan Spillane: So – and can you remind Richland adds 6% to North American volume just the amount of capacity that it enables you to ex-incremental volume it allows you to generate?
Rob McNutt: About 300 million pounds of natural base of 5.5 billion, yes.
Bryan Spillane: Okay, alright. Thank you.
Tom Werner: Thank you.
Operator: Next question comes from Andrew Carter with Stifel.
Andrew Carter: Thanks. Good morning guys. I just have one here for you, you said that really the only impediment to revisiting kind of your long-term EBITDA growth is kind of starting to see some more input cost inflation you have seen 5% so on non-potato here in the fourth quarter and some on the potato, just wanted to talk kind of circle back to you kind of degree you prep of pricing power you have both to offset this both in terms of the contracts you have in place that you setup last summer, the number of contracts that are coming due to the summer and then some of your smaller customers where you have the ability there to take some pricing?
Tom Werner: Andrew, there is a lot of variables in our contracting. So within each segment you have contracts that you have faster mechanism, some are fixed price. In our Foodservice segment, we have list pricing that we can go into the market. So there is a lot of variables. In our Retail segment you have contracted prices that are fixed some are – have faster mechanism, so it’s really a mix bag. What I will tell you is in July when we wrap up our year and give our full year guidance, we will have a clear view of the inflation impact next year and how that adds up in terms of long-term outlook and we will also as we do every year at this time as we are going through contracting and thinking about our pricing architecture for the coming year we will have that point of view for you then as well.
Andrew Carter: Thanks guys.
Tom Werner: Thank you.
Operator: Next question comes from Adam Mizrahi with Berenberg Capital Market.
Adam Mizrahi: Hi, guys. One question for me, the international export business seems to be called out less and less in your results as we go through this year, can you talk about how that part of your business is performing relative to your expectations at the start of the year and why international seemingly playing less as a whole in overall volume growth versus this time 12 months to 18 months ago? Thank you.
Dexter Congbalay: Hey Adam, it’s Dexter, one of the things we called out actually last quarter was we delve [ph] back on some of our international business from mix perspective, some of that was lower margin. We were able to redeploy some of that volume that we were exporting before back into North America which obviously carries a little bit higher margin in that way. So growth in international this quarter actually we were slightly down as a result of walk away for some of those contracts. And one of the other things as in terms of China particularly we are continuing to scale our production in China itself, so that means that we are exporting a little bit less until we get plant fully ramped up.
Adam Mizrahi: Great. Very helpful. Thank you.
Operator: Our last question comes from Michael Gallo with C.L. King.
Michael Gallo: Hi, good morning and congratulations on the strong results.
Tom Werner: Good morning.
Michael Gallo: My question is just a bigger picture question obviously and a little bit of nontraditional customer for your product obviously they had an enormously successful launch. I was wondering if you start to see signs, if that’s driving some other perhaps nontraditional large QSR players to start thinking about whether some of your products would be opportunities for their menu? Thanks.
Tom Werner: Michael, I will comment it from this standpoint. There is opportunity this is my belief in the nontraditional customers. What’s going on in the market and the success that we are happening right now is a testament to that. We have got some things we are working on in our innovation pipeline and obviously I can’t share for competitive reasons, but that’s an area that I think its huge opportunity. It’s a long runway to get some of those nontraditional customers to entertain potato offerings fry or non-fry, but that’s an area that’s top of mind for me and my team. And we are focused on it. We have got some work going around it, but again, that’s a long runway. But the great news is we have got resources against it and when we can crack that code and get in one of those nontraditional fried channels, it could payoff really big. So, we are working on it. We have got some great ideas and hopefully sooner than later we will crack the code.
Michael Gallo: Thanks very much. And then just a follow-up just on the retail business for the fourth quarter, I know you have a few moving pieces there between the distribution gains and then also you had that significant private label business yet in Q3. I guess to sort of dimensionalize, obviously it’s not going to be 30% kind of growth that you saw in Q3, but should we expect that to be kind of midway between what you saw kind of Q2 and Q3 or I guess trying to dimensionalize the different pieces? Thanks.
Rob McNutt: Yes, this is Rob and again recognized the relative comp Q4 last year was stronger. But as I mentioned, we have got a couple of new customers for the Grown in Idaho that starts shipping in Q4. And so we will see the impact of that, but also recognize as I mentioned in my prepared remarks that we had some shift in timing between Q2 and Q3, which was meaningful enough to call out. So, I think you are going to end up somewhere in between there as you mentioned. So, I think that’s a fair way to think about it, but it recognized it’s a wide range right.
Michael Gallo: Thanks very much.
Tom Werner: Thanks Michael.
Operator: That does conclude our question-and-answer session for today. I will turn the conference back over to management for closing remarks.
Dexter Congbalay: Hi, it’s Dexter. If anybody has some follow-up questions, please probably best to e-mail me and then we can set some time to speak. Other than that, have a good day. Thank you.
Operator: Thank you. Ladies and gentlemen that does conclude today’s conference. We thank you for your participation and you may now disconnect.